Operator: Hi, everyone. Welcome to Planet 13 Holdings' 2019 Third Quarter Financial Results Conference Call. As a reminder, this conference call is being recorded on Tuesday, November 26, 2019.  At this time, all participants are in a listen only mode. [Operator Instructions] I'll now turn the call over to Mark Kuindersma, Head of Investor Relations for Planet 13. Please go ahead. 
Mark Kuindersma: Thank you. Good morning, everyone and thanks for joining us today. Planet 13 Holdings' third quarter 2019 financial results were released last night. The press release, financial statements and MD&A are available on SEDAR as well as on our website, planet13holdings.com.  Before I pass the call over to management, we'd like to remind listeners that portion of today's discussion include forward-looking statements. There can be no assurances that such information will prove to be accurate or that management's expectations or estimates at future developments, circumstances or results will materialize. As a result of these risks and uncertainties the results or events predicted in these forward-looking statements may differ materially from the actual results or events. Risks factors that could affect results are detailed in the company's public filings are made available on Sedar and we encourage listeners to read those statements in conjunction with today's call.  The forward-looking statements in this conference call are made as of the date of this call. Planet 13 disclaims any intention or obligation to update or revise such information except as required by applicable law, and does not assume any liability for disclosure relating to any company mentioned here-in. Planet 13 financial statements are presented in U.S. dollars and the results discussed during this call are in U.S. dollars unless otherwise indicated. On the call today, we have Bob Groesback, Co-Chairman and Co-CEO; Larry Scheffler, Co-Chairman and Co-CEO, and Dennis Logan, CFO.  I will now pass the call over to Larry Scheffler, Co-Chairman and Co Chief Executive Officer of Planet 13. 
Larry Scheffler: Thanks Mark. Good morning, everyone. And thank you for participating in our third quarter call. We now have one-year of operations under our belt at the SuperStore. And I feel confident in saying it's the highest revenue-generating dispensary in the world with $59.5 million in revenue through the first 12- months and $16.7 million in the latest quarter. The SuperStore alone has been responsible for about 9% of Nevada all sales in 2019 on a year-to-date basis. Customers love the unique entertainment, the breadth of products and outstanding personal customer service that defines the Planet 13 experience. It's a must-see destination for any trip to Las Vegas. And we're encouraged everyone listening to come and see it for yourself.  As we enter into our second year of operation, our SuperStore is only getting better. Phase two is now open. On October 18th, we opened Rickety Cricket Pizzeria and Purc Coffee shop, making us the only dispensary to my knowledge where you can have a full-service restaurant and you could buy cannabis all under one roof. Additionally, on October 31st, we opened our customer-facing production facility with its highly automated state-of-the-art extraction, edible, vape and bottling lines all behind glass, giving Planet 13 customers the ability to see firsthand how their favorite cannabis products are made.  This is a one-of-a-kind experience and we believe this level of transparency enhances the unique connection our in-health products have with our customers. Features like this drive brand awareness and loyalty, turn our customers into active ambassadors, drive additional traffic and ultimately lead to substantially higher gross sales, higher sales and gross margin. We're currently running production line on our vapes, Gummies, and Chocolates lines for extensive in-house trials and rigorous testing at multiple different Nevada testing labs. We expect to have TRENDI, and Leaf & Vine vapes and HaHa Gummies and Dreamland Chocolates lines fully operational and available for sale by December 10, with the Elysium brand line to go into production before the end of the year. This location has significant potential upside is a brand launching pad for both Nevada and the nation. And where we are fielding an increasing number of requests along those lines. We hosted our first third-party brand launch in Planet 13 events center on October 26. In addition to brand launches, we continue to rollout new advertising options that include premium shelf space for higher stocking fees and marketing campaigns within the store. In the New Year, we will also add contract manufacturing for brands that want to enter Nevada. This is an opportunity to continue to leverage the SuperStore footprint to drive top and bottom line growth without adding additional CapEx. The SuperStore's truly unique property, its location experience will continue to drive strong levels of traffic and sales. And this traffic and visibility lead to a very interesting set of opportunities for brand building and profit for Planet 13. The SuperStore is already a place for visitors can eat, drink, recreate and shop all under one roof. We will continue to look at new and innovative cannabis themed additions from additional shops to interact to art exhibits like cannabisation that will help drive customer traffic, while also continue to explore creative income share great months they will contribute to our bottom line.  We see a multi-year opportunity to grow sales and profitability just out of this one location. I'll the call to Dennis to talk about our financials.
Dennis Logan: Thanks Larry. Before I begin, I'd just like to remind everyone what Mark said at the beginning that all numbers quoted are in US dollars unless specifically stated otherwise. So this year, we've broken out the four-wall economics for the SuperStore for the first time. In order to allow our shareholders and investors to better understand the operations of the SuperStore Entertainment Complex and our Nevada operations. The segmented disclosure split out our Nevada cannabis operations and our corporate overhead. We wanted to provide this metric to show what the economics of the SuperStore are and what adding additional stores over a relatively static corporate overhead cost-based would look like. On a consolidated basis, Planet 13 generated 20.2% adjusted EBITDA margin in Q3 and on a four-wall Nevada operations basis, we generated 23.9% adjusted EBITDA margin.  In Q3, 2019, we generated $16.7 million in revenue, a sequential increase of 1.1% over Q2, 2019 and a year-over-year increase of 241%. Adjusted EBITDA for Q3, 2019 was $3.4 million. And this represents a sequential increase of 23.9% over Q2, 2019. Overall, EBITDA margins in the quarter were 20.2% compared to 16.4% for Q2. EBITDA margin increased due to lower legal and audit fees, as well as tighter controls on SG&A during Q3. And we do believe we can achieve our EBITDA margin targets in the 35% to 40% range from the combined Phase 1and 2 of the SuperStore. As we saw sale increase areas, we increased our vertical integration and sell more of our in-house branded products in the store. As we enter the wholesale market with our expanded production facility, both through white-label contract manufacturing and through pushing our own brand throughout the state.  We will also begin receiving rent and income share from third-party vendors in the SuperStore. And we will continue to be diligent in controlling our sales marketing and G&A expenses. Gross margin improved to 59.1% from 58.7% in the prior quarter. This is partially due to increased stocking fees where we have multiple third-party brands paying us stocking fees and product placement fees to be on the shelves at the SuperStore. These fees are accounted for as a reduction in cost of goods sold and the stocking fees are currently running around a $150,000 per month. Sales and marketing expense was $1.8 million for the quarter which remaining flat as a percentage of revenue compared to Q2. While we do see this number trending down overtime as we continue to tweak various spend and targeted where we can drive the most traffic.  We spent $4.9 million on G&A in the quarter, down from $5.5 million last quarter. G&A is still higher than what we would consider normalized as we continue to support the ongoing litigation against the Nevada Department of Taxation and due to expenses related to our expansion into California and other one-time legal costs. As we talked about on our last call, the all-in capital cost for Phase 2 came to approximately $9.4 million above our $6 million budget that we had originally indicated. We were forced to make some fairly substantial fire suppression upgrades to the entire building. And while making these upgrades, we took the opportunity to upgrade fire suppression through the entire building and not just Phase 2, as we wanted to be prepared as we roll out the rest of the footprint for building. About $4.9 million in cash was spent and accounted for in Q3 leaving us an additional $4.5 million in expected cash out flow during Q4 as we finalize our construction commitments and finish off the build-out of Phase 2. As of September 30, 2019, we had cash and cash equivalents of $18 million and we generate a $4.8 million in cash flow from operations in Q3 and $7.6 million in cash flow from operations during the first three quarters. We are well capitalized to complete our first out-of-state expansion in California and our focus on continuing to drive revenue growth and expanded profitability at the SuperStore and our Nevada operations.  And with that, I will pass the call over to Bob. 
Bob Groesback: Thank you, Dennis, and good morning, everyone. There currently 61 dispensaries licensed and operating in Nevada. Approximately 49 are operational and Clark County alone. The SuperStore represents about 9% of the total sales for the state of Nevada. Also representing about 12% of the Clark County operations. We've done it by building a location that can't be replicated in either size or proximity to the Las Vegas Strip. We've done it by offering something no other dispensary does. And we've done it by always putting the customer experience first. That has a lasting moat that won't be cross no matter how many dispensaries are open in this state. We've talked about it before that one of our big goals for 2020 is to capture a share of the Nevada wholesale market. And while we are realistic and understand that it won't happen overnight, we have a high level of confidence based on the quality of our products and the strong relationships we have developed many other dispensaries that we will be very successful. Larry mentioned we're running product lines through hundreds of tests before we sell our products from the new facility. We are acutely aware of how one bad experience can turn off a customer forever. We are committed to consistency and product quality above all else. And we're taking a deliberate approach and doing all the little things that will make our brands successful statewide.  On that note. I'd also like to congratulate our marketing team for having just won Cleo Canvas Brand Design Award from High Times for the packaging of our Dreamland Chocolates brands. Our success in Nevada makes us confidence we can create a destination even in an unlimited license state like California or under any other potential regulatory framework. By focusing on the same three key metrics that have been successful at the SuperStore. Location, unique experiences and customer service.  Our Santa Ana store is progressing. We expect to have the license transfer in the hand by early January which will require a build-out of the shelf of that store under the California Law. The license transfer is one of the main requirements for us to close the transaction. And we're still targeting the end of Q2 or Q3 for the Santa Ana opening. While I know everyone is eager to learn more details of our plan for the store. We're going to stay them for our Q4 call when we are a little closer and can provide a timeline, budget and share everything that will make this store special. Planet 13's model never been about opening as many stores as possible. It is about taking our time and opening the right store in the right location, earns outsized store-level returns. And in the process creating not only a destination for consumers but a one-of-a-kind brand marketing destination for our partners. That is why it took us so long to find the perfect location. Our location in Santa Ana has all the potential of the Las Vegas Strip location. It has proximity to tourist traffic, easy access, abundant parking, and a footprint large enough for us to create a unique destination. Once open, bring the Planet 13 disciplined focus, execution and customer service. We built a profitable business that isn't subject to the wins of the capital market for financing. A one-of-a-kind asset that because of location, customer awareness and experience we deliver isn't subject to the market pressures that main street dispensaries are facing Nevada and elsewhere. With that said, again we like to thank everyone for participating in today's call. But now ask the operator to open the line for questions.
Operator: [Operator Instructions] Your first question is from Bobby Burleson from Canaccord. Bobby, please go ahead
BobbyBurleson: Good morning and congratulations on the strong execution. And there is just particular out there, no one in particular, I am just wondering as we look at this margin target that you guys are driving towards. Can you give us a sense for what you think the linearity might be on getting there? And kind of what's a major contributor are for that margin expansion obviously selling, producing more of your house brands, selling to the SuperStore as part of it but at its contract manufacturing and wholesaling kind of layer into that. 30% to 35% target.
DennisLogan: Hi, Bobby. It's Dennis here. So we are in the process right now. Obviously, ramping up our in-house production. We can't keep our own brands in stock so that will allow it to sell more of our own product in the store. With the expansion of our branded products the HaHa Gummies and Dreamland Chocolates coming on and the Elysium beverages. So we think we will be able to get to that 50% vertical integration on the Milan flower side of the business over time probably over the next six to nine months.  On the contract manufacturing, we are already in discussions with a couple of third-party brands that are looking to enter Nevada, where -- white label contract manufacturer for them and then do a product launch in the SuperStore and distribute for them statewide. So that should come online and I would say January, February. And then as we fully ramp up the production going into the New Year, we're already in discussions with other dispensaries in the state to carry our products. Feel that that's a relatively easier target to get our brands and whether there are specific brands, TRENDI, Leaf & Vine et cetera or we create another brand that we can then portion to that wholesale market if we get some resistance on other dispensaries carrying our actual main branded products.  We can easily do that as well. We sell --the majority of what we sell right now in the SuperStore is from third-party brands in the state. They all have dispensaries and other retail locations they sell through. And it is not to say, not to quote a political phrase but Quid Pro Quo you want to be on our shelves, you have to carry our products in your store. So we don't see that as an impediment to getting our products into other dispensaries and the state. And all of that should help us expand the margin as we go forward.
BobbyBurleson: Great. It sounds like there's some precedent there for some reciprocity on the brands. And then when we think about, I guess the Medizin store and the ongoing legal effort there on licensing. You guys are obviously a huge footprint in the overall Nevada market; you guys have great economies of scale and buying power. How might we think about how those benefits that footprint could flow through to Medizin? When that store reopens at some point, what is the profitability metrics that might benefit from the success you've had at the SuperStore?
DennisLogan: Bob you want to take that, the first part of that and I will take the profitability piece of it.
BobGroesback: Sure. I'd be happy too. So, Bobby, good morning. Look, when we get the Medizin reopened. It's pretty simple on the efficiencies, we're getting over here will carry over to that store. That said the Medizin store when we originally opened that was focused primarily on a local customer. We see that will continue when that store is ultimately reopened. But again the efficiencies that we're able to generate through the SuperStore particularly with respect to our in-house products that we manufacture will carry over to that facility as well. We're excited about those opportunities and the key metrics I'll pass back to Dennis.
DennisLogan: So, Bobby, if you go back and look at where we ended in October of 2018. And that's sort of the metric of that store it. As Bob mentioned, it's targeted at the local customer so the top-line revenue will be lower. Not that we're discounting products, we would just be selling different product. We did sell a lot more flower on that location and less than a higher-margin internally-generated in vaping et cetera. Although, our Medizin brand, they sell well in that location and we expect that we will have similar products just not necessarily all of the products. Because a lot of the third-party brands may not want to be in that store.  It is more of a local store, but profitability-wise it's the margins are going to be a bit lower there than they are at the SuperStore. But it's still a fantastic $18 million to $20 million run rate revenue store on an annual basis there with some decent margin. 
Operator: The next question is from Adam Oberg from BMO. Please go ahead, Adam. 
UnidentifiedAnalyst: Good morning, gentlemen. Great job as always and wish you guys' great success moving forward. I have a number of questions for you guys for the team. As far as the Phase II goes, what are you seeing so far in terms of traffic coming through the store? Are we seeing an increase yet? And are you seeing that flow through into total number of tickets that are printed within the dispensary, as well as any changes or any noticeable difference hopefully to the upside in terms of average ticket size and then in conjunction with that it sounds like there's still a lot to rollout especially as it relates to the production area.  Is there a plan to do, I guess, like a marketing blips or marketing push once you're kind of past the soft rollout opening?
BobGroesback: So, Adam, good morning. This is Bob. Let me jump into the first part. It's hard right now. We've been open literally for less than a month or just a little over a month on the restaurant side of it. We're just ramping up. It's very new. As far as actual headcounts through the facility and ticket counts, little, again a little early to give you any numbers there. What we have heard is it consistent positive comments back from our customers now that they have the ability to use the restaurant, we're seeing average sales in that facility tick-up everyday too Keep in mind, November is historically probably the slowest month of the year in Vegas. So the town is relatively slow. We'll see a nice uptick here over the weekend. Thanksgiving weekend but it's hard based on November opening to really give any trends. I do believe and I'm very confident that store is going to do exactly for the expansion as we do exactly everything we said it would do. On the experience of customers now walking to the grand hallway, watching production overwhelmingly positive. The photo walls alone in the back part of the corridor. It's starting to perform like we see out in the main ball as customers come into the facility. So it's a great from the standpoint that now customers are seeing it, and they are sharing that experience with all of their friends and family through the various social media platforms.  Now with respect to the production facility and the restaurant for that matter in the Events space, we are launching pretty aggressive awareness campaigns through our marketing department. But again, that's going to take a bit of time to get traction just like when we opened this facility with several months for the marketing really started to click in. And we're comfortable with that process and we're very comfortable that again the facility is do everything we thought it would do and generating traffic and increased sales in greater facilities.
UnidentifiedAnalyst: Okay, great. Thank you. Bob. What is the wholesale flowers status in Nevada right now in terms of pricing trends for product that you are purchasing for input?
BobGroesback: Well, the overall pricing is pretty flat and it hasn't really changed appreciably. But for us, again as was mentioned earlier by Dennis because of our size and our buying power, we are able to now --we're in the market looking at a number of other suppliers getting really attractive pricing, again just because of the buying power that we have. So that all falls --it's just margin pickup. 
UnidentifiedAnalyst: Right, exact. That's what I was looking forward -- was looking to see if there is pricing power in terms of suppressing the cost per pound downwards for you. It sounds like it's headed that direction which is great. And given the wholesale situation that you spoke about and the fact that there could be opportunities to start selling other products that go through the production facility, is their space and are there contingency plans in order to expand the existing dispensary footprint and subsequently add more cash registers because you can see online that it's crazy busy. And obviously you guys are number one top-notch in terms of customer service. So just want to find out what your thoughts are there?
LarryScheffler: Yes, this is Larry Scheffler. We've all talked about and have plans that if that were to happen we know it will at some point. We have about 5,000 to 7,000 square feet that we currently used for bulk storage directly north on the adjacent [wall of] dispensary. We can move that bulk storage farther north and take over those 5,000 to 7,000 square feet by expanding that wall. Given there's quite a bit of more capacity and cash registers. We thought about that from the beginning that where we put that storage in that location. So we think we've got a good plan for that when that occurs.
UnidentifiedAnalyst: Okay. Great. I'm sure that the management team has been monitoring and following that there has been some renegotiation in terms of deal terms from various MSOs. Just wondering if in relation to the Santa Ana deal if there is a thought process or any discussions around potentially renegotiating those terms?
BobGroesback: Well, Adam, it's Bob again. I think that's probably a little bit too easy. We're pretty far down the path on this deal. And I know there's, obviously, we should always look at opportunities to get the best possible deal we can. But the reality is here even in a constrained market; the entire sector as we all know has been down considerably. You can't find a better location. So I'm reticent and I think Larry as well as our management team. Prior to going at the 11th hour and renegotiated deal and put that location at risk.
LarryScheffler: And this is Larry. I agree a 100%. And again, I don't know if you guys remember, we talked before about that when we were searching out California. We elect from Santa Cruz to San Diego, almost a 100 locations and we're about ready to give up in California if found the site. So we don't --we don't think that's in the cards to be looking for any of the side of renegotiating. That's site right now. 
BobGroesback: And the nice thing is there is a big stock component to this deal. It's not all cash.
UnidentifiedAnalyst: Right, understood. And so tying into that what about scoping out additional locations in other various states?
BobGroesback: Yes. So again this is Bob. I actually was in the Northeast about a week and half ago, had the opportunity to look at some multiple locations in Massachusetts and New York. So we're still-- we're focused on expanding obviously beyond Santa Ana. And we're taking a deep dive into some of those markets. We entered into some preliminary discussions with multiple license holders. And again, those are markets that we're going to take a real hard look at in addition to others. We've been in Michigan multiple times over the year. We will be in Illinois here shortly. So again for us as I said in my comments, we're not interested in holding licenses for the sake of holding licenses. There's a really small box requirements that we insist on and we'll put the time and effort into find locations that check those boxes. Allow us to build something truly unique in markets.
UnidentifiedAnalyst: Right. Sorry and I came on the call that you just mentioned you'll be into Illinois shortly. 
BobGroesback: We're taking a look at it. We've had discussions with potential like whoever license holders there in the market. So we're just taking a look and see what's Chicago land in particular has to offer. 
UnidentifiedAnalyst: That's fantastic. And then finally have you --well not finally but finally for today, if you had any discussions with the with the owners of, if I'm pronouncing it correctly at Allegiant or with the NFL as far as it goes in relation to advertising at the stadium. I noticed that Gronk has a deal advertising at Gillette Stadium on the CBD side, I believe. 
BobGroesback: Right. So the NFL of course has been very careful in advertising with respect to cannabis related businesses. So that's really not a viable option at this point. We reached out to them very early on in the process that didn't get much traction. Now in the CBD side, yes, so maybe there's some flexibility. We haven't talked to them about that specifically from a planning and perspective but we intend to be very active in when we are put in a position that we can advertise in the venue. We're going to take a hard look.  Obviously, at the end of the day it's also about costs. If you've seen some of the numbers for some of the sponsors in that arena, the numbers are fairly sobering. 
Operator: The next question is from Doug Cooper from Beacon Securities. Please go ahead
DougCooper: Hi, good morning, everyone and congratulations on nice quarter. A couple of things. First of all, I want to get to the goal of 50% of non-flower product to be your own brands. I think, Dennis, maybe you said six to nine months. This quarter non-flower was $10.5 million. Can you indicate to us what percentage of that $10.5 million were your own brands this quarter?
DennisLogan: Doug, I mean I have to dig a bit deeper into the numbers. We bill on that one. We get back to you but suffice it to say we're 15% total branded product in that store. We skew a little bit higher on the flower side because we do sell all of our flower through that store as premium flowers. So I would expect that much less than 15% on the other product category. But I will get back to you with the detail on that in terms of breaking that out by vapes and by edible.
DougCooper: And in general what's the gross margin differential between your own brands and third-party brand?
DennisLogan: So if we look at where we are at gross margin right now collectively where we sit, we think there's another 9 to 12 points in margin we can pick up in there depending on the product category. Larry, you like to talk about the Gummies and depending on where we can buy the Gummies based on our volume buying power versus manufacturing them ourselves. We can get three to four bucks a pack of Gummies in savings or in gross margin.
DougCooper: Just to be clear there is 9 to 12 points on a consolidated basis or just for that 50?
DennisLogan: Yes. On a consolidated basis. 9 to 12 points
DougCooper: Move from like 61 to 70, 
DennisLogan: Yes. Yes. Like 58 to high 60, 70 probably would be. 
DougCooper: Okay, great. I just wanted to spend a minute on the Nevada market in particular the sort of monthly numbers coming on in Nevada have been relatively flat since May. Your guys' daily numbers since May hovering around I guess 2,000 a day. Do you see the sort of Nevada market flattening out? And how do you see the competitive landscape for the SuperStore? And I guess in particular I'm thinking about [Reaf] now is about to change hands to Crisco. Do you see them as a more viable competitor now that it is in a stronger company's hands? 
BobGroesback: Well, good morning, Doug. Let me jump in. Let me address the last part of your question first. Look, we don't have any control with Reaf is going to do moving forward. Confident, they'll make some improvement to their facilities. That makes perfect sense. But we don't think that's going to hurt us at all. On the contrary, we think it will drive additional traffic to the area. So welcome to the neighborhood. We're going to continue to do what we do and to work to expand on the customer experience and everything that comes with that. Now as far as traffic, yes, it's leveled out a bit. But again, it's hard now as we go into the winter season here. Adding convention season for the market or the towns not quite as full.  But that said with Phase II opening, we're confident that we will see an uptick in traffic and uptick fan. That's what it's all designed to do. I think Nevada is still very dynamic market. There has been a bit of a flattening. And as you mentioned but in Clark County I think we've got nothing but upside. As we constantly tell people, Larry continually harps to the market. Only 3% the last survey we saw a little over a year ago, last survey indicated only 3% of tourists here in the valley even knew that marijuana was legal recreationally.  So unfortunately we don't get any assistance from the state for the local entities on marketing as a tourist, a potential tourist draw. But as we continue to build on our platforms and fine tune our marketing efforts particularly in the strip corridor where we're focused. I'm confident; we're going to see a continuing traffic and obviously revenue that evolves from it. 
DougCooper: And just a question I guess on the marketing promotional activity around the restaurant and bistro in particular and maybe to Adam's point earlier is that something you can advertise at the NFL stadium or NHL stadium or the airport or what's the strategy around that in particular. 
BobGroesback: Well, the restaurant obviously could. That's a separate leased property. The reality is I don't think a small operator like that facility could support the spent associated with advertising and in marijuana for instance. And so I think it's going to be a slower rollout. There would certainly be a concentrated marketing effort but more on local traditional platforms like radio, newsprint things of that nature so to create awareness. And then of course we're going to promote the brand as well through our various platforms. We're optimistic that it will get traction.
DougCooper: And I guess my final question is just around California. The results coming out of California operators have been less than stellar. There's obviously some confusion in the California market changing regulations and the black market is remains more than dynamic out there. How do you see, do you see it changing materially by the time that you guys plan to open your facility or how do you see your California in particular unfolding?
LarryScheffler: This is Larry. Again, I think it's because our model is so different just like it hasn't been stellar for a lot of locations here in Nevada either other than us. As we take our vision to California which is totally different than I think anything else in California. I think it will show we will be able to repeat what we did here in Las Vegas. We're very confident about that and we wouldn't have gotten into California. And again, like I repeat myself well we delayed getting into California until we found the right location. We don't have any concern at all considering again what we did we are going to repeat what we did. And we expect the same results over there,
Operator: The next question is from Greg Gibas from Northland. Please go ahead, Greg. 
GregGibas: Good morning, guys. Thanks for taking the questions and nice job on the quarter. Just wondering what would margins have looked like if you back out the litigation expense and then the California expansion one time expenses?
DennisLogan: Hey, Greg. It's Dennis. So a kind of SuperStore itself those margins as we disclosed in the segmented piece of it, would be the same, obviously, because we push all those costs through corporate. You're looking at probably another $500,000 because we would be able to add to that EBITDA. If you want to do that run those calculations I mean I don't have my computer in front of me right now, but that's sort of where we are in those costs about $0.5 million for the quarter. 
GregGibas: Okay, fair enough, great. And then I was just wondering can you attempt to quantify any of the financial effects that you've maybe seen in Q3 or maybe expect to realize in Q4 just as a result of the vaping concerns that you've seen nationwide? And as a result of you maybe shifted some of the mix of products in your store? 
DennisLogan: Look, it's Dennis. I'll take the first part and Bob and Larry, given they are on the ground can expand on it but the state of Nevada overall saw a dip in vape sales as a result of it, there's vaping crisis. But our store has not. We have not seen any real variability outside normal up and down 1%- 3% a month in either direction. So it hasn't impacted us at all. I believe that speaks largely to the type of customer we're going after that tourist customer that we do have extensively tested products in the store. It's the legal channel. So it hasn't really impacted us on a day-to-day basis. But Bob, Larry any additional color on that?
BobGroesback: Well, I will just add briefly, Greg. Good morning. Yes, we continue to watch it very closely. Obviously, it was a shock to the market overall when this originally unfolded, but I think as more information comes out through the CDC that these injuries and deaths were associated primarily to illegal unlicensed producers. I think the customer; particularly our customer is much more confident coming into our store knowing that they are buying regulated products that have been thoroughly tested. So as, Dennis, indicated we've seen very little change in vape sales to the store at this point. 
GregGibas: Okay, that's good to hear. And then just going back and clarify the bump in sales and marketing that you expect to promote completion of Phase II. How should we think about the timing of that? Would that mostly be recognized in Q4 and Q1? And then kind of return to normalized levels after that.
LarryScheffler: Yes. You will see, I guess, you'll see some of that in Q4. Some of that bump will also be Q1 as we push into the wholesale market a little bit harder with our sales and marketing efforts. But yes Q4, the ramp-up cost or the ramp up advertising associated with the venue being opened and some of those promotions. And then some of that splashing your brands that will come out with as Larry indicated the Elysium by the end of the year. So we'll have a push on those brands in Q4, but given that it is ended November beginning of December you will see a bunch of that in December and January.
GregGibas: Got it. And then the last one for me as we think about 2020 and the percentage of revenues at wholesale would represent there. Obviously, this will change quarter-to-quarter or month-to-month. But how should we think about that general mix of revenue contributions assuming on a long-term basis you can get into 80% or 90% of the stores in the state?
LarryScheffler: Yes. I mean I come back to you Greg. And I look at it as an overall market share if we're 9% of the overall stay or overall kind of stage revenue coming out of that one store, what we are going to be kept at. I don't see us getting above 20%. If we could be 15% to 20% of the total by the time we're done ramping up that would be ideal I think for us in the year we classify that as a win. That's a massive market share for the state for a single operator. It's going to take some time obviously as we roll out the brands and get the acceptance and promote them, those brands in the other dispensary. So I think over six months to June, you'll start-- you'll see that ramping up and you'll get a better clarity kind of Q1, Q2 what that really is going to look like. We haven't given any guidance to date on that. I think we will hold off for the time being until we get some traction in Q1.  End of Q&A
Operator: Thank you. There are no further questions at this time. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and we ask that you please disconnect your line. Thank you.